Operator: Ladies and gentlemen, thank you for standing by. [Operator Instructions] I would now like to turn the conference over to Tahmin Clarke. Please go ahead, sir. 
Tahmin Clarke: Thank you, operator. Good afternoon, and welcome to Arlo Technologies First Quarter 2024 Financial Results Conference Call. Joining us from the company are Mr. Matthew McRae, CEO, and Mr. Kurt Binder, CFO. The format of the call will start with an introduction and commentary on the business provided by Matt, followed by a review of the financials for the first quarter along with guidance for the second quarter provided by Kurt. We will then take questions. If you have not received a copy of today's release, please visit Arlo's Investor Relations website at investor.arlo.com. 
 Before we begin the formal remarks, we advise you that today's conference call contains forward-looking statements. Forward-looking statements include statements regarding our potential future business, operating results and financial condition including descriptions of our revenue, gross margin, operating margins, earnings per share, expenses, cash outlook, free cash flow and free cash flow margin, guidance for the second quarter of 2024, the long-range plan targets, the rate and timing of paid subscriber growth, the transition to a services first business model, the commercial launch and momentum of new products and services, strategic objectives and initiatives, market expansion and future growth, partnerships with various market leaders and strategic collaborators, continued new product and service differentiation, and the impact of general macroeconomic conditions on our business, operating results and financial condition. Actual results or trends could differ materially from those contemplated by these forward-looking statements. For more information, please refer to the risk factors discussed in Arlo's periodic filings with the SEC, including the most recent annual report on Form 10-K and quarterly report on Form 10-Q. Any forward-looking statements that we make on this call are based on assumptions as of today, and Arlo undertakes no obligation to update these statements as a result of new information or future events. 
 In addition, several non-GAAP financial measures will be discussed on this call. A reconciliation of the GAAP to non-GAAP measures can be found in today's press release on our Investor Relations website. At this time, I would now like to turn the call over to Matt. 
Matthew McRae: Thank you, Tahmin, and thank you everyone for joining us today on Arlo's First Quarter 2024 Earnings Call. Before we jump into the details of our Q1 results, I would like to take a moment to review our long-range plan and strategy. You will recall from our last earnings report, Arlo set forth new and more ambitious long-range targets based on the stellar execution by the team across the business. At or before 2030, our goal is to achieve 10 million paid accounts, $700 million in annual recurring revenue, and over 25% non-GAAP operating margin. Our strategy to accomplish these goals focuses on several areas. 
 First is our retail and direct business where we sell devices and service subscriptions to consumers. Last year, we rebalanced our pricing strategy by reducing hardware margins and increasing our service fees, which lowered the barrier of entry in a slower consumer market, driving share gains and faster household formation for Arlo. And in the 2023 holiday period, our Essential 2 product line performed well, especially at big box retailers, providing a clear indication that the DIY home security segment is entering the mass market. 
 Along with helping us navigate a slower consumer climate in the near term, this shift in pricing opened a broader addressable market for Arlo and is a key dimension in our plans to continue our strong paid subscription growth, leading to expansion of both our service revenue and profitability. 
 Looking ahead, we believe the macroeconomic environment will remain muted in 2024. Thus, we plan to leverage the same strategy we executed last year as we plan for the important back half of the year. While lower ASPs may bring down hardware revenue, we expect to benefit again from incremental growth in households and service revenue going into 2025. I'm excited to report that this strategy has already begun to bear fruit as we have, similar to last year, a confirmed robust promotional calendar with some of the largest retailers in the world for this coming holiday season. 
 Second is strategic accounts or our B2B relationships. Kurt and I mentioned on our previous call that we believe more than half of the growth in our long-range targets could come from our partnerships. Arlo is experiencing a resurgence in interest and engagement across several verticals, and we are more confident than ever that these strategic accounts will play an important role in our future success. 
 Reinforcing that notion, today we announced the renewal of our agreement with Verisure, one of our oldest and most important strategic partners. Arlo will continue to provide devices, custom development, AI-powered services and our cloud platform technologies to Verisure for another 5 years as they continue to grow their business across Europe and Latin America. I want to congratulate Verisure on their success, and we look forward to working together as we support their next wave of growth. 
 The last area of focus is our capital allocation plan, which is being built to maximize shareholder value through the careful and disciplined deployment of our resources. Our internal investment in Arlo's innovation pipeline continues to enhance our market position from the successful Essential 2 portfolio rollout to the anticipated launch of our Arlo Secure platform later this year with its groundbreaking AI-powered capabilities. And while the smart security category is maturing, I see a new wave of innovation over the next 24 to 36 months, and Arlo could not be better positioned to strengthen our leadership in the space. 
 As evidence of our current leadership position, this quarter Arlo won an American Business Award for Innovation of the Year, adding to our previous accolades, including the Smart Security Camera Company of the Year award from IoT Breakthroughs and our recognition for Innovation and Excellence from Newsweek. Other aspects of our capital allocation plan are underdeveloped, and we plan on providing additional insight and detail over the coming months. 
 With that overview as context, you can see why we are so pleased with our operating results in the first quarter. Arlo ended with 3.2 million paid accounts in Q1, growing our base by 58% year-over-year. Our annual recurring revenue grew over 24% year-over-year to reach $227 million, driven by retail and direct subscriptions from our successful holiday sales. And total revenue was $124 million, up 12% year-over-year and driven by the anticipated recovery of Verisure orders after their destocking event at the end of 2023. 
 This outstanding performance resulted in a non-GAAP earnings per share of $0.09 and the business generated an incredible $19.5 million of free cash flow at a free cash flow margin of 15.7%, a record for the company and a result that truly demonstrates the success of our services first business model. 
 I would like to give my congratulations and extend my appreciation to the entire Arlo team. Our Q1 results represent a great first step towards successfully achieving our new long-range targets. And now I'll turn it over to Kurt for a more in-depth review of these Q1 results. 
Kurt Binder: Thank you, Matt, and thank you, everyone, for joining us today. I will start by sharing some financial details and an overview of the business for Q1 of 2024. Total revenue for the first quarter of 2024 came in at $124.2 million, up 12% over the prior year period. In the quarter, service revenue represented about 46% of total revenue, up from 40% in the same period last year. This shift in revenue composition reflects the continued momentum that we have gained in our transformation to a services-first business. 
 Our installed base of subscribers continued its strong growth trajectory as we reached over 3.2 million paid accounts by the end of Q1, an increase of approximately 422,000 paid accounts in the quarter. This number does include a significant catch-up of Verisure accounts that we have discussed on previous calls. We expect the catch-up to continue for 1 or 2 more quarters. 
 Service revenue for Q1 was another record at $56.7 million or a 29% increase over last year. The strong service revenue performance was driven by our increase in pricing across our paid accounts last year as well as the growth in our overall paid account base. Our annual recurring revenue at March 31 was $227 million, up 24% over the same period last year. I want to highlight the strength of our services revenue and ARR, which helped deliver solid revenue performance and contributed to Arlo generating non-GAAP operating profit of $8.6 million in the quarter. This represents a sixfold increase in operating profit over the same period last year. 
 Product revenue for Q1 was $67 million, which was down sequentially from our seasonally strong holiday quarter, but in line with the revenue generated in the same period last year. During the quarter, we shipped a total of 1.1 million devices worldwide compared to 960,000 in the prior year period. Product revenue at these levels was driven by the higher unit volume, offset by the continuing decline in ASPs in most product categories. 
 Our lower cost Essential 2 camera lineup has positioned us to gain a greater share of households as we enter into the mass market phase of home security. We believe that customers of these products that come to Arlo through channels like Walmart represent an incremental subscriber opportunity for our services business. And given the strong commitment to the Smart Security segment by some of our largest retail partners, we will use product pricing as a lever to go after additional market share even if it results in product gross margins being below the mid-single-digit range to drive additional service revenue growth in 2025. 
 In the quarter, approximately $70 million or 56% of our total revenue was generated from our international customers. Specifically, our sequential results for the EMEA region improved significantly as we experienced a material uptick in orders from our largest partner which resulted in them surpassing the $500 million minimum purchase commitment threshold on our contract during the period. As Matt mentioned, we remain extremely pleased with our Verisure relationship, and we are excited to share the recent news that the existing contract was renewed through 2029. 
 From this point on, my discussion will focus on non-GAAP numbers. The reconciliation from GAAP to non-GAAP figures is detailed in our earnings release distributed earlier today. Our non-GAAP gross profit for the first quarter was $49 million, up 35% year-over-year. This resulted in a non-GAAP gross margin of 39%, up over 600 basis points from 33% in Q1 of 2023. The year-over-year increase in non-GAAP gross profit was primarily attributable to the continued expansion of our services business and associated gross margin. Non-GAAP service gross margin for the quarter was 76.7%, up from approximately 73.5% in the same period last year. The improvement in non-GAAP service gross profit was driven by growth in our total paid subscriptions and the pricing increase implemented in February of last year. 
 Non-GAAP product gross margin for the quarter was 8%, consistent with the previous quarter, but up 200 basis points from the same period last year. Product margin of 8% is slightly high, but still in line with the mid-single-digit guidance that we provided when we gave our full year 2024 outlook. 
 Total non-GAAP operating expenses for the first quarter were $40 million, up both on a sequential and year-over-year basis and in line with the expectations we shared last quarter. The year-over-year increase is partially attributable to the increase in R&D expenses as we are investing in the development of Arlo Secure 5.0. We are keeping our operating expenses in check while delivering higher levels of service revenue as a percentage of total revenue. We will continue to exercise a disciplined approach to our cost structure as we scale the services business. 
 In Q1, we posted non-GAAP net income of $9.5 million. Our non-GAAP net income translates into income per diluted share of $0.09. Regarding our balance sheet and liquidity position, we ended the quarter with $142.9 million in available cash, cash equivalents and short-term investments. This balance was up more than $24 million year-over-year and underscores the strength of Arlo's capital position right now. We generated a record $19.5 million in free cash flow in Q1, which represents free cash flow margin of 16%, an improvement driven by both our increased profitability and solid working capital management. 
 For instance, our Q1 accounts receivable balance was $56.5 million at quarter end with Q1 DSOs at 41 days, down from 44 days in the same period last year. Our continued improvement in DSOs reflects our focus on improving our working capital position. We are pleased with our strong liquidity position, which provides us with options to leverage our cash for strategic initiatives to help accelerate our growth in the smart security market. 
 And finally, our Q1 inventory balance ended at $44.7 million, up $6.3 million from Q4 2023 levels. Inventory turns were 5.7x, down from 7.6x in Q4, but in line with our expectations as we look to optimize our inventory levels in an effort to reduce spend on inbound freight, especially airfreight. 
 Now turning to our outlook. We expect the second quarter revenue for 2024 to be in the range of $120 million to $130 million and our non-GAAP net income per diluted share to be between $0.06 and $0.12 per share. We are positioned well with the new low-cost Essential 2 camera portfolio in this more cautious consumer market. Consumers are continuing to make purchase decisions based on promotional activity, and our ability to deliver a great product and an entry-level price point allows us to expand our strong market position as the security segment enters the mass market phase of adoption. Service revenue is still forecasted to grow at approximately 20% over last year, thereby becoming a much larger portion of our overall revenue and profitability mix. We continue to expect non-GAAP service gross margin to be in the 75% range for 2024. And now I'll open it up for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Mark Cash with Raymond James. 
Mark Cash: This is Mark on for Adam. If I could start with you, first time with EMEA being the largest portion of the business, and I appreciate prepared remarks talking about material uptick coming from Verisure. But I just wanted to ask, would any of this be onetime in nature or due to the new tighter extension? And then maybe alongside that, reading in the Q, the new agreement extension does not contain a minimum purchase obligation. Can you just talk about kind of what you're expecting and if there's any risk with that? 
Matthew McRae: Yes. Thank you for the question. Yes, so we're really happy that we renewed with Verisure. I mean, it puts just a great solid foundation on the strategic account portion of our business, so we're really excited to continue that relationship with Verisure. It extended another 5 years, and you're right, the minimum guarantee that we had put in the original agreement was really for the initial ramp term. Now that we're just extending the existing contract another 5 years, there's no incremental or additional minimum guarantee there. What you see from Verisure is very strong ordering. And Kurt mentioned in his part of the script that they have already met in the quarter their $500 million minimum guarantee, the $500 million hardware purchase guarantee. And we see through forecasting that that's going to continue over time. Now when you look at Q1 being strong, like we mentioned, a little bit of that is seasonality and kind of normal seasonality between Q4 and Q1, but it's accentuated by Verisure's destocking over the back half of last year and I think running a little bit dry on inventory and then doing a bit of catch-up in Q1. We might see a little bit of that in Q2 as well from a hardware purchase perspective. Some of that is normal seasonality. Some of that is because of the destocking in Q4 and then Verisure doing some strong buying in Q1 to bring their inventory back to an operational level. 
Mark Cash: Okay. Great. And just kind of -- if I could follow up on that, just what kind of geography mix are you expecting? Is this atypical just because of what you were just talking about with the Verisure kind of catching up there? 
Matthew McRae: Yes. I think it's definitely atypical or at least the mix is stronger to the European side because of that catch-up in ordering after their destocking. I think again we're seeing them placing orders in Q1 that was stronger than a normal Q1. It might happen a little bit in Q2, and then it may start to normalize as their inventory position is kind of more normalized with our operations than some of the new paid accounts that they're signing up across Europe. 
Mark Cash: Okay. And if I could just ask one to Kurt, just kind of maybe kind of bigger picture. I guess what are you seeing now in terms of consumer behavior today versus 3 or 6 months ago? And how do you tie that into your -- the planned promotional activity that was discussed? 
Kurt Binder: Yes. Thanks, Mark. The consumer environment is in line with what we were expecting. If you recall, over the last couple quarters, we've indicated that we anticipated 2024 from the standpoint of consumer sentiment in the overall environment to be quite similar to 2023. And that's exactly what we're seeing here for Q1. The great thing is, and as we've communicated in the past, we anticipated that and that was really the basis for us moving aggressively to the Essential 2 platform that we rolled out in October and November of this past year. That platform does allow us, because of the cost down that we included within that [ BOM ], the ability to be very promotional. You'll see in Q1, we did on a product gross margin standpoint come in at about 8%. We have flexibility because that BOM cost as well as what we're doing around airfreight and some of the other supply chain costs to be a lot more aggressive. And I would say you could expect us to do that throughout the year in the event that the consumer market remains relatively soft as it is right now. 
Operator: Our next question comes from the line of Hamed Khorsand with BWS Financial. 
Hamed Khorsand: The first question I want to ask was, in your comments you said about Verisure expanding in Latin America. Does that cover Arlo's agreement with Verisure at all with this extension? 
Matthew McRae: Yes, it does. In our relationship with Verisure, and this is true of the first term and continuing to be true on the renewal, is that we have an ability to partner with them on a global basis. A lot of the initial term obviously was focused on the European footprint, bringing that up across channels. But as Verisure expands into new regions over time, and one of the ones that they've actually talked about publicly and is starting to ramp a bit is Latin America or South America, we will be one of their key partners obviously from a supply chain perspective in both devices and the cloud technologies and AI technologies. We do see them starting to move beyond Europe from a footprint perspective and looking forward to actually helping them do that. 
Hamed Khorsand: And then why has this new subscriber adds number continued to just climb and you can't provide what is actually Arlo's incremental gain for the quarter? 
Matthew McRae: Well, we always -- I know it's still a little bit murky because of the catch-up in the Verisure South numbers. And as you know, we've been trying to get that cleaned up as quick as possible. I think Kurt mentioned we may probably have another quarter or so, maybe a little bit longer of that. That's Verisure rolling out new firmware and bringing on devices from a pay to service account perspective, accurately reporting those into the back end. Every quarter, like we usually do, we kind of tell you that there's a catch-up and that the normal run rate for Arlo minus that catch-up is somewhere between 170,000, 190,000 net paid accounts. And then what you're seeing on top of that is the catch-up rollout that Verisure is doing so that the cameras that are actually deployed are being counted correctly. Again, I think we'll see probably a quarter of that at least. We're seeing some catch-up now in the quarter that we're currently in and it may spill a little bit into Q3, but we're hoping to have it mostly finished by the end of summer. 
Hamed Khorsand: And my last question was, do you have any data that you could share as far as if there's a change in the attach rate with the Essentials 2 introduction versus the rest of your Arlo product line? 
Matthew McRae: Yes. We have some preliminary data. It's a great question, and it's something we're watching very carefully. As you know, we have conversion rates and then attach rates. Conversion rates are the metric of service being acquired by a customer within 30 days of a free trial ending. And then attach rates as we look at that cohort 6 months out. We're not really at a point 6 months out where we can really see what the long-term attach rates are. But what I can tell you is both the general mix of our platform is still within that 60% attach rate plus or minus, even though we haven't had all the Essential 2 live on for 6 months or more in the current installed base. And the initial conversion rates that we're seeing actually across the board look slightly better than the original Essential, Essential 1. We think we're in a similar position is where we would have been prior to the Essential 2 launch, potentially for a little bit of upside as we get through the full life of the Essential 2 customer and we get to judge their attach rates in the next call it 3 to 4 months. 
Operator: Our next question comes from the line of Scott Searle with ROTH MKM. 
Scott Searle: Matt, maybe to start, could you give us an update in terms of what you're seeing with the customer channel right now in terms of responsiveness to driving further penetration of you versus whether I'll call them the Amazon Link devices? And kind of couple that then with the product gross margin expectations as we're looking out over the course of 2024. I know 8% is at the higher end of the range, but how are you thinking about that over the next couple of quarters? How aggressive do you plan to be? 
Matthew McRae: Yes. Great question. A couple of the channel dynamics that we're seeing to provide a little bit of color. Towards the end of last year, obviously we had a very successful Q4 and engagement across several retailers, including some of the biggest big box retailers. And I think you'll see that continue, meaning the investment that we've placed into that relationship is being reciprocated in an investment in Arlo not only from a shelf perspective but also from a promotional calendar perspective. So that's exciting as we get into the second half and look at driving obviously, future service revenue from device sales. I would say that also from a color and competition perspective, we are seeing some consolidation in the space. I think that's a benefit for us. That's an opportunity for us to capture share as some of the smaller brands start to struggle, especially brands that do not have a healthy service component so that they can dig a little deeper on hardware. And then to your point, and I think you were hinting at this in the question a little bit, there are several retailers, one in particular and one that's in the middle of kind of strategizing their assortment, are weary about some of the larger competitors in the space and what they mean from a long-term perspective, but also from a customer ownership perspective. And I think, again, that plays into our favor. I would say Arlo, I think we're in a really strong position. We feel like the strategy that we played last year around the rebalancing of our pricing to lean in and lower the barrier of entry for our products really did pay dividends in the service business, our service gross margin. and our overall profitability of the company. To the second part of your question, we're looking out now at a year that we believe, and to Kurt's answer on a previous question, looks a lot like 2023. Maybe the holiday period gets a little bit deeper depending on what happens. Maybe it's a little bit better. But on a whole, we're seeing this year start to play out very similar to last year. And the good news is our strategy worked extraordinarily well last year, and so we're going to replicate it this year. You're right, our gross margin on hardware in Q1 was roughly 8%. It's a bit higher than the mid-single digits that we had laid out. I would tell you, as we're looking for Q4 and given the benefit, the clear benefit and demonstrable benefit we already had last year in both service revenue and overall profitability of the company, when you look at how service revenue actually applies to our overall financials, I think you can see us potentially go lower, right? And that's something we're kind of planning through and trying to talk about on the call is maybe it's still single, mid-single digits, maybe somewhere between 0 and mid-single digits. If we think it would generate substantially more household formation, which turns into service revenue and then obviously turns into shareholder value creation. That gives you hopefully some color. We're going through some of that stuff right now. But the promotional calendar we have for the holiday is very strong. And if we think there's an opportunity to dig a little bit deeper and do the exact same trade we did last year for similar results, it's something we would do again. 
Scott Searle: Okay. Great. Very helpful. And Matt, if I could follow up, Arlo Secure AI, looking at those currently unpaid accounts getting close to $6 million, I wonder if you can update us on your thoughts in terms of monetization opportunities there into some of the adjacencies, be it with SMB, InsurTech, Telehealth? And maybe as well, how you're thinking about things from an inorganic perspective. The company now is starting to get into a regular position of generating positive free cash flow? Are your thoughts changing at all on that front? Thanks. 
Matthew McRae: Yes. Yes. Great question again. On the what we'll call active unsubscribed customer base, that continues to grow as well, which is great. Obviously, we look to them with promotional activity and sometimes that's maybe upgrading somebody's device, maybe that's a promotion on service itself to bring them into the paid service tier over time. And that's something we're constantly looking at. I would tell you some of the roadmap items, including several of the features that are in Arlo Secure 5 that will launch towards the end of this year, are specifically geared towards some of the features that users are asking for to become a paid subscriber. We gear our roadmap based on survey data and listening to what unsubscribed active customers are actually telling us. I would also tell you that, and we talked about this on the previous call, we're going to test in-app advertising on the free tier as well. And that may open up an additional monetization opportunity where an unsubscribed active customer could still generate service revenue for the company. And that's something we're going to test as we get towards the end of this year and see how that applies to our 2025 strategy. I think both of those are areas that we're excited about, and you'll see more activity in the second half of this year. As we get into the capital allocation plan, which is the second question, you're right. Obviously, we're having some great success. We're throwing off some cash. I think the market consolidation also lends itself to us looking at things beyond just the organic investment we're doing from an R&D perspective. Now I would say, like I said on the call, the next 24 to 36 months, even though the market segment is maturing, there are new technologies being brought to bear. Some work we've been doing over the last year that I'm extraordinarily excited about of what that means just from an organic investment in new technologies that can expand our markets. But again, put that aside and come back to your question, I don't think that's the only thing we'll be looking at. We are starting to look at some inorganic opportunities. Maybe that's new technologies, maybe that's a consolidation play that leans into some of the natural market dynamics. And we're exploring other things like buybacks and other things that might be inorganic and returns. These all may play a part in the capital allocation plan. It's under development. We're in active discussion with the Board, so there's nothing I can communicate yet. But I think over the next several months, we're hoping to have a little bit more information that we can share with investors and start to lay out how the capital allocation plan will play a key role in getting us to our long-range targets. And those long-range targets are something that drives us every day inside this company. How do we get to 10 million paid accounts? How do we get to $700 million in ARR? And how do we drive profitability above 25% operating margin? That's something that we're all focused on, everybody in the company is bonused on, and we're all targeting. And so the capital allocation plan may play a key role in that as we go forward. And it's something we'll talk more about I think in the coming months or quarters. 
Operator: Our next question comes from the line of Jacob Stephan with Lake Street Capital. 
Jacob Stephan: I've been hopping between calls, so sorry if this has already been asked, but I just want to follow up on kind of the Arlo Secure 5 rollout and some of the monetization opportunities you talked about with your unpaid subscriber base. The ads kind of tier that you had been previously talking about, is that technology something that will be rolled out with Secure 5? Or are you going to need to essentially kind of acquire that or develop that further before rolling that out? 
Matthew McRae: Yes, good question. Arlo Secure 5 is a rollout that includes all the new AI features and some of the other functionality that we discussed on the prior call. It also includes by the way, a lot of refactoring and I would say simplification of both language and user experience because we're starting to see ourselves move into the mass market. Some of the success you've seen at some big box retailers means our general population of users is going to broaden. And that's exciting, but it also means we need to take a fresh look at our user experience and make sure that support mechanisms are there, simple plain English descriptions of key features are there, the simplification and navigation is there. It's twofold, Arlo Secure 5. One is simplification and broadening the access to a wider population of users, and it's adding a lot of new technologies, including some of, to me, some of the most exciting AI features you'll see in the security space in a long time. That's Secure 5. Now in parallel to that, there's a couple of tests we're going to be doing towards the end of the year to inform what our strategy will be based on the resulting data for what we want to do in 2025 and be able to build that into our annual operating plan. One of those tests is advertising. It's related in that it will run on top of Arlo Secure 5, but it's not technically part of that launch and rollout. It's a parallel development that's focused on doing a test, allowing us to capture data as we go into next year's planning cycle. To your question about development, a lot of that is being developed in-house. But obviously, there are a lot of third-party relationships with technology partners and industry partners that bring a lot of that capability from the backend to bear into the Arlo user experience. And this is an area that both Kurt and I and many of the executives here, back at Physio and other companies we've been at, have had a lot of experience figuring out how to monetize a user experience even if it doesn't have a paid subscription attached to it. 
Jacob Stephan: Got it. That's really helpful. And then just I guess to follow up on kind of that question with the unpaid users, maybe it would help, could you quantify kind of what the load on I guess your cost of goods would be? Or kind of what the load on running the kind of backend software for those unpaid users is? 
Matthew McRae: Yes. We don't break it out, but I can tell you it's pretty low. And our unpaid users are broken really into 2 categories. There's what we used to call, and we still call, legacy users. And those are the users that were before we changed our business model to a much more subscription-oriented company. Now those users have some free storage and a couple of services that are a bit more expensive. Now that user base is actually shrinking over time as more and more subscribe as we go forward. And then there's the free users after we made our business model change to really a subscription-oriented business. And those have a very low cost basis from a cloud perspective and other -- sorry, because there is no storage component, there's very little compute, and it's really just streaming live and doing some notifications off of raw motion events, so very, very efficient. And that was part of our business model change. Now obviously, if we deploy additional features into that free tier in exchange for the ad monetization, that could change, but it would be done in a way that's accretive to our business because of the monetization scheme that we can deploy. 
Jacob Stephan: Okay. I appreciate all the color here. Best of luck going forward, guys. 
Operator: There are no further questions at this time, so that concludes today's conference call. You may now disconnect.